Mark Pigott: Good morning. PACCAR reported improved revenues and net income for the first quarter of 2011. PACCAR's first quarter sales and financial services revenues were $3.3 billion compared to $2.2 billion in the first quarter last year. Quarterly net income increased $193 million compared to $68 million a year ago, a 280% improvement. I'm very proud of our 19,000 employees who have delivered excellent performance to our shareholders and customers. PACCAR's results reflect the benefits of higher truck deliveries particularly in Europe and North America and a continued improvement in aftermarket parts sales and financial services profits worldwide. In the U.S. and Canada, industry orders in the first quarter of 2011 increased slightly to 65,000 units compared to 61,000 during the fourth quarter last year. The U.S. and Canadian retail truck sales are estimated to improve in 2011 to a range of 200,000 to 220,000 units from 126,000 units last year. European truck registrations for the first two months of 2011 have averaged 18,000 units per month, which is comparable to the average monthly rate for the fourth quarter last year. We estimate that Europe's greater than 15-tonne truck market will be between 220,000 to 240,000 units this year versus 183,000 units last year. During the quarter, PACCAR made progress in its search for a site for a new DAF factory in Brazil. Our goal is for DAF to achieve a 10% share of the Brazilian medium and heavy duty truck market. The improving global economy is certainly benefiting the truck market. PACCAR delivered 13% more trucks in the first quarter than the fourth quarter last year. PACCAR increased truck production at all truck plants in North America and Europe to meet higher levels of demand. The improved utilization of PACCAR's truck facilities is contributing to higher gross margins. PACCAR estimates delivering 15% to 20% more trucks in the second quarter compared to the first quarter, subject to suppliers able to meet demand for items such as tires. While the pricing environment is showing signs of improvement, there are some uncertainties in the industry as you're aware, including the impact of rising raw material cost, the extent to which higher fuel prices will affect purchase decisions by our customers and the impact on the Japanese supply base to meet increased demand levels, especially in electronic components. PACCAR's strong balance sheet and excellent operating cash flow have allowed the company to accelerate its investment in the business, enhance operating efficiency, and develop innovative new products such as the PACCAR MX diesel engine. We have now received over 14,000 orders for the MX engine in North America, and the PACCAR MX engine is being installed in 25% of Kenworth and Peterbilt trucks. Feedback of the engine from our customers has been excellent. PACCAR Financial Services revenues were $241 million in the first quarter compared to $246 million a year ago. PACCAR Financials first quarter pretax income improved to $50 million compared to $28 million earned in Q1 of 2010. This was due to better finance margins and a reduction in the provision for credit losses. The credit loss provisions for the first quarter of this year were $10.5 million compared to $18.4 million a year ago. Thank you, and I look forward to your questions.
Operator: [Operator Instructions] Your first question is from the line of Seth Weber of RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC: In light of the strong margin results in the quarter, is there any update to your outlook for the year? I think in the last quarter call you gave a kind of a flattish guidance relative to the fourth quarter. Is there any update to that?
Mark Pigott: Well, that's always a good question. I think the way we're looking at it is trucks are improving and becoming a larger proportion of our profit results. But as you may know, profits on trucks had a lower margin percent than parts. So when we look out for the rest of the year, even with an increasing truck business, I think our margins will be in line with what we just had in the first quarter. That's the best update I can give for you.
Seth Weber - RBC Capital Markets, LLC: Okay, thank you. And as a quick follow up, can you give us any color whether you're seeing any strength from the smaller -- the order strength. Has that transitioned to the smaller operators at this point or is it still largely coming from the larger fleets? Thank you.
Mark Pigott: Yes, that's a good question. We're finding some improvement at all levels of the customer base, those customers with less than 5 units that I would look at the group between 5 to 50 and then over 50. It's pretty much in line with what we've seen in the last few years, even as it's improved. Of course, many of the smaller operators have aligned themselves with the large fleets to take advantage of better purchase pricing on their equipment, healthcare benefits, access to more jobs from different customers. So it's the old days that the owner operator has certainly drifted away. But the smaller operators have purchased approximately 25% of our products, and it's pretty much in line with the last couple of years.
Seth Weber - RBC Capital Markets, LLC: Okay, great. Thanks very much, guys.
Mark Pigott: Thank you, appreciate it.
Operator: The next question is from the line of Robert Wertheimer of Morgan Stanley.
Robert Wertheimer - Morgan Stanley: Thanks for taking the question. So you just mentioned something interesting that we wanted to ask about. With the smaller owner operators aligning themselves with fleets for purchasing power and so forth, do you see that as any -- I know you've generally said your share on the fleet is just as good as with owner operators or very healthy anyway, but do you see the strategic threat and that the owner operators might be getting to be pushed to take lower spec trucks or more sort of utilitarian vehicles?
Mark Pigott: Well, that's a good question. I think generally, probably not a concern because people are still looking to attract drivers even with the slowdown in the housing and residential construction that we all know about, still trying to recruit drivers as one of the main programs that certainly we're undertaking and many of the people in the industry are looking to set up training programs. So I think these companies, the freight haulers, are all well-managed companies. They want to make a return and they know that by getting a good driver and giving them good equipment, they're going to have a better return. I think as we've learned through the decades that we keep coming out with more fuel-efficient powertrain and we're very proud of our MX engine, but the one most important factor in fuel economy is the driver. And the more you train the driver and the higher, better person you get driving the truck, the better fuel economy, the more money you're going to make as an operator. So I think people are saying, "Let's get good product to attract good drivers and we can actually make a better return."
Robert Wertheimer - Morgan Stanley: Okay, that's helpful. And then if I could just ask a quick a follow-up on the component issues which you mentioned, is there any hint of -- are people doing excess charges to get production back online in Japan or the tire guys trying to price up? I know it's just a commodity pass-through. But otherwise, just given the shortages, do you see any margin risk from people trying to ramp a supply chain very fast? And that's it, thanks.
Mark Pigott: Sure. Well, the suppliers, this affects the automotive industry worldwide. I mean, that's cars and trucks. And we have many excellent, excellent suppliers. So we have to take a look at it from a couple of different viewpoints. First of all, the terrible tragedy in Japan certainly affected the automotive world. And on the supply base, a number of suppliers, which I think tend to be a little bit more focused on the electronic components, and these are the controllers that might go behind a dashboard, and that's affecting the entire industry. But they're working very hard, either within their own company or with government agencies to try to get back up to speed. That will take some time. But so far, it seems to be manageable, although you can certainly read in the industry press that a number of the car manufacturers in Japan have had shutdowns and are still struggling. But everybody's working with these suppliers to help them get back up to close to normal capacity. Second, speaking of capacity, you know you've got record demand, particularly on trucks, around the world, whether it's in China, South America, North America, Europe. When you combine them all, you've got a very high demand and that looks to be going higher over the next couple of years. So suppliers, particularly in the tire segment of the business, are looking to add capacity. Certainly the cost of rubber has gone up about 200% since 2009. You also have carbon black shortages because of some production issues in Egypt. So it's a complex, global concern, but everybody is working hard and it's something that we all do everyday. This is just a little bit more exacerbated. But I think we'll get through it. It's just going to be a little bit more challenging this year.
Robert Wertheimer - Morgan Stanley: Great, thanks very much.
Mark Pigott: Thank you.
Operator: . Your next question is from the line of Ann Duignan of JPMorgan.
Ann Duignan - JP Morgan Chase & Co: Maybe you could talk a little bit about Q1 versus Q2. Could you talk about the ramp up of your second shift, whether that's behind you or not, whether there were costs incurred in Q1 as you train people and bring people on and incurring efficiencies? And when would you expect to be at kind of equilibrium in terms of ramping up production volumes?
Mark Pigott: Well, we're continuing to ramp up production volumes. And I indicated, Ann, we're looking at 15% to 20% increase. We like, I say most of our competitors are well into second shifts, and that we expect the second shift to be as good as the first shift, and they always are. So in terms of any additional cost, I think we've kind of worked our way through anything like that. So I think it's now just adding on people, and there seems to be good people available to come work at our facilities and the orders are strong. We got a backlog out to July, August and that seems to support the ability to ramp up production. So I think it looks reasonably good.
Ann Duignan - JP Morgan Chase & Co: Okay, thank you. And my follow-up question is about the pricing environment, both in the U.S. and in Europe. Could you talk a little bit about the competitive environment in both regions and what you're seeing out there?
Mark Pigott: Sure. Well, I think we've talked a few months ago when we had our first quarter call. And we've been pleasantly surprised by the stronger rebound in both Europe and North America as the orders have come in for a couple of different reasons. One, I think in Europe, obviously it didn't have quite the impact in terms of the housing bubble in North America ran into. And then many of our good customers in North America, as the economy has slightly improved, have got into a 1.5%, 2.5% GDP growth, just finding their vehicles are at an age where they would really be more beneficial to replace them. So that's translated into higher sales. And I think pricing has generally followed as you have a stronger margin, you’re able to have a little bit better pricing scenario. And our customers are able to get a little bit more on more freight and higher freight rates. Obviously, everybody has their eye on the increased price of fuel. But there seem to be a little better pricing environment than just a few months ago.
Ann Duignan - JP Morgan Chase & Co: Has that surprised you or is it typical when you come out of a downturn?
Mark Pigott: Well, I mean, typically, we find in a stronger market, it's a little bit stronger pricing environment. So that's what we've seen through many, many cycles. I think, I would say, the rebound has been a little bit stronger than we anticipated, just even at the beginning of the year. So that's encouraging.
Ann Duignan - JP Morgan Chase & Co: Okay, thank you. I'll get back in line and hand it over.
Operator: Your next question is from the line of Jerry Revich of Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc.: Mark, can you talk about when you expect your South American assembly capacity to come online? It looks like that you made progress in picking us out over the quarter. Can you just tell us more?
Mark Pigott: Well, I think realistically, and I was just down there, it's an exciting market. If you haven't been to Brazil, I don't want to be a tour guide, but I certainly recommend getting down there and seeing a very dynamic country. Well, with the first thing is we have to select a site. So we've narrowed it down but we do not have a site. So I think on a conservative basis, we could start building a factory by the end of this year. Realistically, it would hopefully be in production in early 2013. So that's just the blocking and tackling of building a factory.
Jerry Revich - Goldman Sachs Group Inc.: And on that note, can you give us an update on how much of the hiring you've done in recent quarters has been in your Mississippi engine facility? And when do you expect the production rate to really ramp up there?
Mark Pigott: Well, we have -- we continue to hire in Mississippi. Over the entire company, we've added 3,000 employees or so in the last 4 to 5 months. So that's -- it's always great to have wonderful employees back joining the team again. And Mississippi is continuing to do well, it's 25% of Peterbilt have the MX engine. And we're looking at bringing online some additional machining capacity this summer. So if you haven't had a chance to visit Mississippi, we'd love to have you there.
Jerry Revich - Goldman Sachs Group Inc.: Appreciate the invite. On the hiring front, Mark, I'm wondering if you can talk about whether we should expect your pace of hiring to slow in the coming quarters or should we expect what we've seen over the past two quarters to continue through the balance of the year?
Mark Pigott: I think, I'm not sure if it goes into your cost model, but you know, I think the hiring is probably slowing down because of we're starting to ramp up the levels. We don't need to hire as many people as we did in the last 6 months. But we'll continue to hire.
Jerry Revich - Goldman Sachs Group Inc.: And lastly, would you mention lead times? Can you talk about whether there's any difference between the U.S. and European operations or are they both out for July, August?
Mark Pigott: Yes, they're very comparable. Both of them are July, August time.
Jerry Revich - Goldman Sachs Group Inc.: Thank you very much.
Mark Pigott: You bet. Thank you, appreciate it.
Operator: Your next question is from the line of J. B. Groh of D.A. Davidson.
J. B. Groh - D.A. Davidson & Co.: I just want to dive into this gross margin a little bit more because I'm assuming that your input costs have not gone down. Is there anyway you could give us sort of a general gauge as to the sort of inflation that you're facing on the raw material front?
Mark Pigott: Well, it really varies as you would expect by commodity. And if you take a look, and I think I mentioned rubber up 200%, but you look at carbon for steel and copper and stainless steel, palladium going into the engine, I mean a lot of these were up 60%, 80% over the last two years. Now some of that is small dollars and some of it is larger dollars. But there's a real demand driving some of that higher prices. And we have to pay them. And as our competitors do, we try to pass some of that through. But as we talked about a few months ago, particularly on the exhaust side, it's very difficult to get all that passed through the customers, maybe a little bit better now than it was 3 months ago. So we continue to look at it every single day. And if we're able to adjust our pricing, we do, but sometimes, it's just something you have to absorb in the cost of sales.
J. B. Groh - D.A. Davidson & Co.: I guess I was pretty pleasantly surprised at the first quarter gross margin number and I think other people have asked, do you see that as being kind of a peak number for the year? I mean, it's probably too early to tell, but if you are sticking to your guidance of sort of flattish margins for the year...
Mark Pigott: I think it was certainly better than we thought when we talked a few months ago for the first, rather for the fourth quarter call. But I think it's going to be sort of in that range. But as I've indicated, as trucks become a larger component of our total profit package, they have lower margin in the parts business so hopefully, keep pushing the parts business to grow, but the parts were very strong in the first quarter. So I think it will be sort of flattish compared to the first quarter. I think it's a fair plus or minus in the first quarter.
J. B. Groh - D.A. Davidson & Co.: And then could you maybe give us the currency impacts on the revenue and the EBITDA?
Thomas Plimpton: You bet. The currency impact on revenues was $16.7 million increase compared to last year, and the impact on pretax profit was $5.7 million compared to last year's quarter.
J. B. Groh - D.A. Davidson & Co.: Okay, thanks for your time.
Mark Pigott: Thank you, good questions.
Operator: The next question is from the line of Henry Kirn of UBS.
Henry Kirn - UBS Investment Bank: Could you talk a little about the PACCAR Financial contribution as we go through the rest of the year?
Mark Pigott: You bet we can, and we're making some good progress there. Let's give some more specifics to it.
Thomas Plimpton: Yes. As you noticed our -- this is Tom, pointing our provision for credit losses was $10.5 million this quarter. And we think going forward, with the improvement in the operating environment for operators that we finance, we should see that it will continue to improve slightly and we expect to see the portfolio to grow somewhat over the year, and as we talked about in the first quarter release, improved margins and obviously the lower losses. So pretty much continuing to be steady in the range of the first quarter, I would suspect.
Henry Kirn - UBS Investment Bank: That's helpful. And is it possible to talk a little bit about the difference in growth rate that you're expecting for the vocational truck market within Class 8 versus the over-the-road Class 8 truck market?
Mark Pigott: Yes, we typically don't break that out but the vocational side is certainly dampened if we're looking at the construction market. The egg side is good. There's certainly a demand for food around the world. But concrete, mixing, dump trucks, utility vehicles, they're down and they're going to be down for a while. I mean, there's great companies out there working hard to try to improve it but they're kind of fighting the headwinds of a difficult macroeconomic environment. So on-highway is going well. There is good GDP growth of 2% to 3%. Consumers are spending again. That looks like it's going to be good for our on-highway truckload carriers.
Henry Kirn - UBS Investment Bank: Okay, thank you very much.
Mark Pigott: Thank you, good questions.
Operator: Your next question is from the line of Steve Volkmann of Jefferies & Company.
Stephen Volkmann - Jefferies & Company, Inc.: Thanks for taking for my question, most of them have been answered. But I wonder if you have any visibility. Sometimes when the markets get overheated, markets, you well know, will tend to get a little double ordering in the market. I wonder if it's time to start thinking about that yet and how much visibility you might have?
Mark Pigott: Steve, I think you've been around as long as I have if you remember those days. We're not anywhere close to that. I mean that's a -- I know exactly what you're saying, and certainly something that all manufacturers are always on the lookout for but we've got dealers that really are in good shape now coming out of the recession. But their in-stock inventory is probably at 5-year lows. So the products that are being ordered from the factory they are moving right through the dealers right to the customers for use and that's really a key factor criteria that we look at to see if there is such a thing as double ordering. But I would expect this year will just be a reasonably strong market and one that certainly is going to be more enjoyable than the last few years. But I think, and this is an important point, still not at what we would expect as replacement demand because there are certainly some headwinds in the general economy, but a good market.
Stephen Volkmann - Jefferies & Company, Inc.: Fair enough, and I wonder, I guess, there's a bit of a thesis out that we've had a very strong few months of orders because the fleets have all been kind of stepping up to do their replenishment but the order numbers may fade as we go through the rest of the year here because maybe the owner operator segment isn't really ready to stand up and order yet. Do you have a view as to what the order trajectory for the industry might look like as the year progresses?
Mark Pigott: Well, we had, let's say, for the first quarter 65,000 and we're saying the year could be 200,000. The 200,000 -- so that means the trajectory will be flattish to it could even be a little bit lower if you're going to get to 200,000. But once again, a good year. Compared to 126,000 last year, we get to 200,000. I think the industry will be pretty happy, and of course it would be happier if it was at 220,000 or higher.
Stephen Volkmann - Jefferies & Company, Inc.: And what do you think MX engine penetration will be at the year-end?
Mark Pigott: Well, it'll be -- I know it'll be resulting in a lot of very happy customers. And currently, we're at 25% and our excellent partner, Cummins, has 75%. So I think 25% to 30% for MX is probably reasonable. We’d like it to be higher but I think that's a great way to start for the first year. I think it has established the record for the highest percent of 13 leaders in the industry in the ramp up and in a launch phase. So we're very pleased and very proud of our team.
Stephen Volkmann - Jefferies & Company, Inc.: Thanks for your help.
Mark Pigott: Thank you.
Operator: Your next question is from the line of Timothy Thein of Citi.
Timothy Thein - Citigroup Inc: Mark, just going back on the plan in Brazil. I'm curious if you could kind of walk through the analysis in terms of the capital budgeting decision on building a greenfield plant down there. And what's sort of a realistic time horizon are you using in your analysis in terms of getting to that 10% market share?
Mark Pigott: The 10%, let's say by 2020 and the other information are great questions but it's the ones that we continue to talk with our board about. So I don't think we can really go on line and talk about that. But certainly, we have plenty of experience building new factories. We just got a new one in Mississippi. So it will take time. But the good thing about Brazil, there are many of them, the first of all is it's a strong truck market. Second is the highest margins for truck markets in the world, and some of that is because of the structure of their customer base. It's primarily smaller fleets, owner operators. There's only a few large fleets. So I'd say it's comparable to what we saw in North America in let's call it the '70s and '80s. Third, there's a lot of demand for agriculture and there's very little rail infrastructure, so trucks have the vast majority of the business. And finally, all of our competitors are there and we know them well. We see them everyday around the world. And the good news is with our DAF Truck and the PACCAR powertrain has done very, very well, and we certainly expect that same sort of positive results as we get the factory up and running and start growing in that marketplace.
Timothy Thein - Citigroup Inc: Okay, great. And I guess just drilling into the gross profit performance for the first quarter, I was hoping to get 2 specific numbers within the truck segment, if you guys have these handy. And the first was just the contribution from the delivery volumes, and then secondly, is that average truck price versus the material and other direct costs that you've conveniently laid out in some of your recent disclosures. Do you have those 2 numbers?
Mark Pigott: I don't think we have them right on hand but we could talk to you off-line and try to get a little bit more specifics on what you're looking for.
Thomas Plimpton: We can give you our truck margin and parts margin percentages.
Timothy Thein - Citigroup Inc: Well, I was hoping to actually get just some of the key drivers. I guess what I'm hoping really -- what I'm striving to understand is, or get some color from you, is what's that kind of contribution from volumes could look like? I think it was about 16% or 17% in 2010, and whether you'd expect that to be higher or lower in 2011 as some of these volumes ramp up?
Mark Pigott: Yes, let's take that off-line-line...
Thomas Plimpton: I'm not sure we know what metrics you're referring to.
Mark Pigott: Yes, a lot of ways to do it. The good thing is overall margins have gone up. Let's talk about that a little more specifically.
Operator: Your next question is from the line of Jamie Cook of Crédit Suisse.
Jamie Cook - Crédit Suisse AG: A couple of questions. One, Mark, can you just speak to what your mix is today of the aerodynamic truck versus traditional and how you see that progressing and is there any margin differential between the two? And then the follow-up question is on your engine facility in Columbus which I did see was quite impressive while we were there in late February. They were talking about building about 25 engines a day. I'm just sort of wondering where you think we should be by year-end with you adding machining in the second half of the year?
Mark Pigott: Well, we're building 25 and we're getting another 25 in from DAF. So that's really 50 today as we look at it. So that's what where we're shipping out. And so we're looking to grow that. We don't have a specific number that we can share at this time, but that's our intent. And I'm glad you brought the aerodynamics up because we are just pleased to hear over the weekend that the Kenworth T700, a wonderful aerodynamic vehicle, was the American Truck Dealer Truck of the Year. So that is a wonderful kudo for the Kenworth team. And aerodynamics continues to increase and it's certainly the majority of our vehicles now, over 50%. And in terms of the margin, and I've been tracking that very carefully because you can go back to the old days of the long and tall of lots of chrome, which have the highest margins of that time, the margins for aerodynamic continue to improve. And really, one of the main drivers is because you got a lot more volume going to the factory, so you continue to get it more efficiently produced. So the margin on the aerodynamics is improving steadily. So that's very encouraging.
Jamie Cook - Crédit Suisse AG: That said, the take away is it's not where the traditional is but over time we should get there with volumes. Is the way to think about it?
Mark Pigott: I think it will continue to improve, and certainly as new products are developed with more efficient manufacturing, controls that we're looking for those to carry a bigger, bigger part of the load.
Jamie Cook - Crédit Suisse AG: And then just last follow-up, I know you talked about production increasing, the Q2 from Q1, 15% to 20%. Did you breakout U.S. versus Europe or did I miss that?
Mark Pigott: No, I didn't break it out. But I think for Q2 versus Q1, the majority of the increase will be in North America. I mean, there will be increases in Europe, DAF is now at about 16% share and the product is going very, very well. So there will be increases around the world, but I'd say 16% of that increase will be in North America.
Jamie Cook - Crédit Suisse AG: Great, that's very helpful. I appreciate it.
Mark Pigott: Thank you very much.
Operator: Your next question is from the line of Patrick Nolan of Deutsche Bank.
Patrick Nolan - Deutsche Bank AG: Just two quick questions, one just kind of a housekeeping, can you break down the truck and parts margin and revenue in the quarter?
Mark Pigott: Yes, we can.
Thomas Plimpton: The truck margin was 7.8% compared to 6.7% in Q4, and the parts margin was 35.3% compared to 34.4% in Q4.
Patrick Nolan - Deutsche Bank AG: Thanks very much. And Mark, you guys cited in your release about parts supply and that being possibly a constraint on industry demand. I know it's early to think about next year but, I mean, when you think about overall industry capacity, when do you think -- is it going to really be that we're going to be butt up - - there's some pretty aggressive forecast of the industry overall next year. When do you think we start butting up against part supply issues that the industry is kind of really hit that headwind of capacity constraints?
Mark Pigott: Well, I think because of the recession, obviously, the OEMs are in slightly better shape than some of the suppliers because there was sort of an ongoing profitability stream that the OEMs could tap into on the spare parts and through their distribution channels that may not have been available to the suppliers. So the suppliers, as you know, they shut down and really reduced their capacity significantly and that was probably the smart thing to do. As I've mentioned earlier today, the rebound has been a little stronger than I think any of us expected, particularly in Europe and North America. So that's the good news. The more challenging news is that the suppliers are rightfully asking how long and how strong and what does that mean in terms of me as a supplier? Do I need to go out and get a new factory? Do I need to look at 2 and 3 shifts? Can I get the people? All the normal things that you run into as you operate a business. So right now, I mean, outside of this, a very strong global demand, I don't see we'll be butting into endemic shortages within the industry. But we're at 200,000 here and 220,000 in Europe. If you get up to those heydays of 2006 of 280,000 and 300,000, there may be some real issues. Because I've been around for a long time and a number of the suppliers are saying, "Sure, I can supply at 300,000 or 320,000 or 340,000, but then what happens a year or two later when it goes back down and I'm stuck with all those capacity?" Right now, I don't think it's an issue but certainly it's an active topic amongst many of our suppliers of how strong and how far. I think it's going to be a year or two before we really have to wrestle with that. But currently, people are thinking about it, which I think is smart. I think the industry has been through some challenging times and I think people have learned from it, which I think makes for a better business environment as time goes on.
Patrick Nolan - Deutsche Bank AG: That's helpful context. Thank you very much.
Mark Pigott: Thank you.
Operator: Your next question is from the line of Ben Elias of the Sterne Agee.
Ben Elias - Sterne Agee & Leach Inc.: Thank you for taking my question. I was just wondering about the timing of your 15-liter MX launch. When should we expect to see that?
Mark Pigott: Well, when you give us the go-ahead, Ben, we're all set. Don't know anything about it, we have a 13-liter that we're very proud of and the 15-liter is supplied by our wonderful partner, Cummings. And that's what we got.
Ben Elias - Sterne Agee & Leach Inc.: And right now, there's no plans, not in development?
Mark Pigott: No, unless you're working on something in your garage, we're happy with the 13- and of course our 9.2-liter. So that's what we've got and it's keeping our team very busy and pleasantly so.
Ben Elias - Sterne Agee & Leach Inc.: Okay. Second question, what is your priority now for use of cash beyond investment? And as a follow up to that, do you think there's anything missing in your portfolio of truck and engine products?
Mark Pigott: Well, that is a great question. Of course, we talked a little bit during this call about some opportunities in Brazil which will absorb some cash. We want to make sure our wonderful shareholders who have been extremely loyal and very supportive forever are suitably compensated. So we take a look at what we can do for them. And then we are looking at China. We are looking at India and taking steps, conservative steps, in those markets. Then there are opportunities in Central Europe and Russia that we're looking at. Then of course, you got a lot of excitement, as with any company, on developing new models which absorb cash. And then finally, as we’ve talked through the years, we continue to work with different third parties on any acquisition opportunities. And that certainly is something we continue to look at. So that's where we look at. And thank you very much.
Operator: Your next question is from the line of Andy Casey of Wells Fargo.
Andrew Casey - Wells Fargo Securities, LLC: Thanks for taking my call. Just a quick question, I mean, a lot has been answered already, but as you look at the trend, you talked about the 13-liter ramp up being better than periods past. If you look at the fuel price level plus the, what I would imagine would be a continued trend towards increased power density of the engine, are you surprised that it's not happening at a faster rate or is it just going to take truckers getting used to a 13-liter that can do much, if not most, of what they need from a larger engine?
Mark Pigott: Well, that's a very perceptive question. Of course, we're very pleased with the strong acceptance and support we had for our engine in North America and around the world. Most of the engines we put in our vehicles have the PACCAR name on it as you're aware. Having just returned from the U.K. where they just hit a record in terms of fuel price, and you have to convert metric, imperial gallons, and pounds and dollars, but the equivalent is $10 a gallon, which is a record for the U.K., by the way, and we're at, let's call it, $3.50 to $4 a gallon here. The rest of the world certainly looks at North America as a wonderful oasis of low fuel pricing. Will that continue forever? Well I'm not sure anything continues forever so let's expect that the fuel will go up. So $4 and then I think the high was a number of years ago at $4.60 or $4.70. Will it go through that level? Most likely it will. So what does that mean for engines and power density as you brought up? The rest of the world has 13 liters as the highest largest engines that they use. I would say over time that there's already a shift happening in North America that 13 liters will be a larger and larger component of the engines being purchased. Along with 11 liters and 9 liters and things like that. So that's just the way of the world. I mean there's no particular reason why North America should be the only market in the world with such a unique powertrain being demanded by our customers. But it will take time.
Andrew Casey - Wells Fargo Securities, LLC: Thank you very much.
Mark Pigott: Thank you.
Operator: Your next question is from the line of David Leiker of Robert W. Baird.
Keith Schicker - Robert W. Baird: It's actually Keith Schicker on the line for David. I had a couple of quick questions. First, if we look within the credit company, could you maybe talk quantitatively or qualitatively about PACCAR's Finance penetration. Has that started to go down? Have you seen additional sources of funding come back into the market for your customers? How does credit look for some of the smaller fleets and owner operators? Can you just provide some color on that regard?
Mark Pigott: You bet, we can.
Thomas Plimpton: In that area there is as the truck market continues to improve, there's increased competition in the banks for coming back in our share. For the first quarter, it's 29% which is up from last year, which is a good sign. The credit quality, we've got a very rigorous credit quality metrics system that we use. And so those results are good and had been reflected in the reduced losses. So pretty much steady as she goes in that area.
Keith Schicker - Robert W. Baird: Is there any differences in credit availability for smaller fleets or even owner operators versus larger companies?
Mark Pigott: Well, some of the agencies, some of the finance groups are expecting a little larger down payment, trying to mitigate from the losses that they experienced for the last few years where credit was probably too flexible and then it was too tight and now they're trying to get to a middle ground. But we're now basically at record levels in terms of our penetration on the PACCAR Financial. We've got a great team. And the dealers, as we come out of recession, our great partners that they realize even more so what a wonderful tool PACCAR Financial and PacLease is when they’re talking with their customers on deciding which is the best financing package for that particular customer. So it's encouraging. And I think the banks are back in at some of the larger independents are tiptoeing back in it but they had such huge losses. I think their appetite has been diminished.
Keith Schicker - Robert W. Baird: Okay. And then just to circle back, another question about the pricing and maybe commodity cost, kind of the equation that we look at there. Are we at a position right now we're as you talk about pricing and the end market rising, are those units that are just going in to the backlog right now or are you seeing higher pricing on products that are getting recognized into revenue into the current period? And then if you look at commodity costs, we've seen those spike up, is that something where you're paying or your cost of goods sold right now is based on commodity prices from a couple of months ago. How did that equation work and how does that spread work or look going forward between pricing and commodity costs?
Mark Pigott: Right, we're looking at, if we can, depending on the market's appetite, having pricing adjustments on a regular basis, that could be every month, that could be every two months, to reflect the rapidly increased commodity pricing. But sometimes that's really a mute point. It's very minimal. Sometimes you'll have a number of larger increases coming from several different commodity groups and we need to take a pricing action in the marketplace. So that's -- I would say that's almost on a monthly basis now.
Keith Schicker - Robert W. Baird: Okay, thank you.
Mark Pigott: Thank you.
Operator: Your next question is from the line of Tim Denoyer of Wolfe Trahan.
Tim Denoyer - Wolf Trahan: Mark, a lot of truckload carriers are talking about potentially a little bit of an overbuy in the second half of this year to take advantage of the bonus depreciation tax law. What do you think that might have in impact in terms of orders going forward and to which are you hearing that from your customers? And do you think there could be a drop in orders as a result if it actually is cut to 50% depreciation next year?
Mark Pigott: Obviously, a lot of our customers are really bright and financially astute or taking a look at the benefits of that bonus depreciation, and there certainly are some. So I think your question is saying do we see in a sense maybe a pull forward or a pre-buy and how that will affect next year, is that what you're seeing?
Tim Denoyer - Wolf Trahan: Yes.
Mark Pigott: Okay. Well, it depends. If the general economy, in fact about really North America not Europe now, if the general economy strengthens, which there's certainly pros and cons on that, but if it does continue to strengthen, that may be enough to offset or mitigate any pre-buy that might result as a result of the bonus depreciation. So I think it's a little early to tell right now. Certainly, if the economy slows down and it's that 1% GDP level, there may be in a sense of a bit of a pre-buy. But right now, it's early days.
Tim Denoyer - Wolf Trahan: Yes, sure. Are you hearing a lot from your customers in terms of the potential for that and is a lot of that built into your expectation at this point?
Mark Pigott: No, what we hear from our customers is the evaluation on what benefits they'll get from the bonus depreciation. So they're evaluating just on the financial spreadsheets right now.
Tim Denoyer - Wolf Trahan: Okay, thanks.
Mark Pigott: Thank you.
Operator: Your next question is from the line of Basili Alukos of Morning Star.
Basili Alukos - Morningstar: A quick question, it's kind of related to some of the comments you made about Brazil and then further about rising oil prices. As you look at the United States obviously intermodal and rails are such a big part, something that's not in Brazil. Like you mentioned, I'm just wondering as oil prices rise or at what point do you see some of your customers kind of switch more towards thinking more aggressively about pursuing intermodal more so than using trucking to transport across the country? I understand that trend has been happening already, but is that discussion at all increasing in today's oil price environment?
Mark Pigott: Trucking as a percent of the total freight haul actually has increased over the last several years by a small percent, but it's increased. There are certainly benefits to intermodal, and a number of our customers actually use both. But intermodal tends to be not quite as timely. I think it's the best way to address it. And so you need to be shipping items that are perhaps not as time-sensitive, not focused so much on just in time for manufacturing. So it's something that the truck industry continues to look at, certainly working with groups like the American Trucking Associations, the ATA, we evaluate it. I think we can actually take some heart from what you see around the world. As you look at Europe, which has significantly higher fuel prices on a per gallon basis, the truck market is a little bit larger than North America, and so I think if I kind of read into your thoughts, do you think intermodal will take away from trucking? No, if the total GDP is growing, I think there's room for both. And say, if you take a look at Europe and truck markets are very strong and very profitable. So I'm encouraged by that.
Basili Alukos - Morningstar: Great. I guess if high-speed rail comes into play, then maybe there will be more room for trucking to kind of take over.
Mark Pigott: Well, high-speed rail tends to be more for people. But I certainly have enjoyed high-speed rail in many of the countries I travel around, but I don't see too many people loading shipments on because those tend to be a little bit shorter runs. It's an exciting world, that's why we love it.
Basili Alukos - Morningstar: Fair enough. Okay, that's all. Thanks a lot.
Mark Pigott: Thank you very much.
Operator: There are no other questions in the queue at this time. Are there any additional remarks?
Robin Easton: I'd like to thank everyone for their excellent questions, and thank you, operator.
Operator: Ladies and gentlemen, this concludes PACCAR's earnings call. Thank you for participating. You may now disconnect.
Operator: Good morning, and welcome to PACCAR's First Quarter 2011 Earnings Conference Call. [Operator Instructions] Today's call is being recorded. [Operator Instructions] I would now like to introduce Mr. Robin Easton, PACCAR's Treasurer. Mr. Easton, please go ahead.
Robin Easton: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Robin Easton, Treasurer of PACCAR, and joining me this morning are Mark Pigott, Chairman and Chief Executive Officer; Tom Plimpton, Vice Chairman; and Michael Barkley, Vice President, Controller. As with prior conference calls, if there are members of the media participating, we request that they participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. I would now like to introduce Mark Pigott.